Louis Schmid: Good afternoon, and welcome to Swisscom's Full Year Results Presentation 2025. My name is Louis Schmid, Head of Investor Relations. And with me are our CEO, Christoph Aeschlimann; our CFO, Eugen Stermetz; and Walter Renna, CEO of Fastweb + Vodafone. Let us now start the meeting with the agenda for today on Page 2. As you can see, Christoph presents the first 3 chapters: achievements, where he dives into some of last year's highlights commercially, operationally and financially; strategy update, where he presents Swisscom's framework, lead, innovate, perform to grow free cash flow; and the review of our business in Switzerland, covering achievements 2025 and our focus 2026. Then Walter Renna, CEO of Fastweb + Vodafone, reviews our business in Italy. He will talk about the integration of Vodafone Italia and the industrial performance of our Italian business and its plans going forward. After Walter's part, Eugen Stermetz, our CFO, will present the financial result 2025, including the guidance 2026. And in the wrap-up chapter, some final remarks from our CEO, Christoph Aeschlimann. After the presentation, we will move directly to the Q&A session. With that, I would like to open the meeting and hand over to Christoph for his part.
Christoph Aeschlimann: Thank you, Louis. Welcome to our 2025 results presentation. From my side, I will directly move to Page #4. So 2025 was quite an eventful year for the Swisscom Group, both in Switzerland and Italy. We put in place a new lean group organization, put in place a new group-wide sustainability strategy and for the first time in over 10 years, we have confirmed that we will vote at the AGM for a dividend increase of 18% to CHF 26 per share. Despite the integration of Vodafone Italy and the new debt financing, we were able to maintain a sector-leading credit rating of A2, which I'm very pleased about. We achieved strong results both in Switzerland and in Italy. In Switzerland, we were voted strongest telco brand according to Brand Finance. We won all service tests, both in shop hotline and on the network side. And with beem, we launched a successful new B2B connectivity portfolio. The highlights in Italy are obviously linked to the integration of Vodafone and Fastweb, where the integration and synergy realization is in full swing and ahead of plan. We also announced a round sharing agreement with Telecom Italia a couple of weeks ago, about which Walter will talk a bit more in detail. Another major milestone in Italy was also the alignment of the go-to-market portfolios. So while we still have 2 brands in Italy, with Fastweb and Vodafone, the B2C product portfolio has been completely aligned, and we have exactly the same offering on mobile and on wireline under the Fastweb and the Vodafone brand, which creates a great momentum in the market. Now moving on to the next Slide #5. We can see an overview of the net add trends, both in Switzerland and in Italy. I think we have a stable development in Switzerland. If you look at the postpaid side, we had plus 44,000 net adds in Q4, bringing us to 185,000 net adds on the mobile side, pretty stable performance throughout the year. Whereas on broadband and TV, we were able to improve the negative trends we had in Q1 and Q2 to still slightly negative in Q4 with minus 4,000 and minus 6,000 but very much improved compared to Q1 at the beginning of the year. If you combine the broadband evolution on the retail side with minus 29,000 with the performance on the wholesale side of plus 37,000, you can see that overall, we have a net positive effect on the broadband penetration in Switzerland. On the fixed voice side, we have the usual mobile fixed voice substitution, which continues and which we expect to continue also in 2026. On the Italian side, I will start with the broadband picture. So you can see that the wholesale side we have a very pleasing performance with Q4 being roughly at the same level as Q1 after a bit weaker Q2 and Q3, with a total of plus 221,000 net adds. And also on the retail side, we were able to substantially improve dynamics in the market with continuous slowdown of the B2C erosion over the 4 quarters, bringing us also to a net positive effect of plus 37,000 net adds in the market. On the mobile side, we have a slightly or a different evolution. As you know, we are executing a strategy change in the market and moving from a value to -- from a volume to a value strategy on the B2C retail side. And you can see some of the net add effects in Q4. So we have -- Walter will give you a bit more details on the execution of the strategy. So far, it goes exactly according to plan, and we are pleased with the results. The negative net adds are basically linked to 3 effects. We -- as you know, we have increased front book prices, which led to a slightly lower order intake. We are aligning back book pricing to front book pricing, which created some incremental churn effects. But the most -- so this brought us a bit more negative net adds on the B2C side. But the most important effect is actually the slowdown of TM9 contribution on the B2B side, where most of the SIMs of the TM9 government contract have been onboarded until Q3. And in Q4, there was no more growth coming from that contract. So now you can see mostly the negative B2C contribution in the overall numbers, whereas in Q1 and Q2, 3, there was still a positive counterbalancing of the TM9 ramp-up in the overall numbers. On Slide 6, you can see that we have achieved the guidance with a stable operating free cash flow in Switzerland and also stable operating free cash flow in Italy despite the transition year and many moving pieces in Italy. This is something we are especially pleased about. And Eugen will deep dive in great detail into the financial numbers. So I will not go through the revenue numbers on this slide, but we will do this later in the section of Eugen Stermetz. So I move on to the strategy update. I will go directly to Page #8. I think after the stability or transition year of 2025, where our main goal was to provide stable free cash flows, both from Italy and from Switzerland, we are now ready to grow free cash flow on the group level. We will do this with several means. We have a proven strategy and now a new scale in Italy. We will continue to invest in best network and services. We will continue to innovate mostly in security, AI and cloud. And we will, of course, perform in the market, striving to be the #1 customer choice in both countries, continue our transformation, both in Switzerland and in Italy to remain a high-performing organization so that overall, on the Swisscom Group level, we can generate growing free cash flows in this year, but also in the future. One word around our strategy. We have a proven strategy framework that we put in place a couple of years ago. It is centered around 4 pillars. First and most importantly is to consistently delight customers by providing best experience, best network, best hotline and great shops or shopping experience, I think this is really the key cornerstone of our success in both countries, while at the same time, constantly innovating and delivering new products and services to the market, being it in the core mobile or fixed but also in adjacent markets around energy, insurance or entertainment and TV services, which allows us to also be competitive in the future. And as you know, telco is also under price pressure. So achieving more with less and constantly driving operational excellence, delivering better quality service at higher automation rates with higher digitization is one of our key focus also to achieve further cost savings in Switzerland and in Italy. And at the same time, we are constantly upskilling our employee base so that we can continue to improve the overall performance of our employee base going forward as we have really high transformation work going on with the digital and AI transformation driving a lot of the change going forward. Overall, with this strategy, we can deliver on the group ambition. As you can see on Slide #10. We want to be a trusted leader in the digital life of our consumers and in the business of our SME and corporate customers. This is based on a couple of key cornerstones. As you know, we are very adamant on having the best networks because we do believe that either on the IT side, but also obviously on mobile and fixed side, you need the best networks as a basis of providing or having satisfied customers, both in B2C and B2B. On the B2C side, we are very much focusing on a premium positioning on the telco space. We have a multi-brand offering, trying to segment the market in the right way, whereas on the B2B side, next to the premium positioning, we are also focusing very much on a comprehensive telco and IT product portfolio centered around security, cloud and AI next to connectivity. Wholesale helps us in both countries to increase the utilization of our infrastructure assets. To get more out of the infrastructure that we are building with -- by leveraging additional brands, reselling our connectivity in different market segments. Overall, this will lead to rock-solid financials, leading to a long-term value creation based on stable free cash flows from the Swiss business, growing free cash flows from synergies in Italy, and this will allow us to deliver an attractive and growing dividend in the future years in line with free cash flow evolution. Next to delivering higher dividends to our shareholders, we obviously do not forget our bond investors. We also focus on a strong balance sheet, good rating and continue to delever the Swisscom Group balance sheet. Now one part of leading in both markets is also having the required scale to make the necessary investments. And you can see this on Slide #11, we have now achieved #1 or #2 position both in both markets and in -- both countries and both markets, mobile and fixed. I will not go through all the numbers. I think they're quite clear on the slide. But this allows us to have the relevant scale to drive investments in both countries and continue to improve customer experience. And we also have a very well-diversified revenue mix, both in Italy but also in Switzerland between the different segments, B2B, B2C and wholesale but also between telco and the IT side, which continues to grow in both countries. And I think this is an important aspect going forward also for the coming years, positioning Swisscom and Fastweb + Vodafone as the integrated comprehensive telco and IT player, delivering sovereign infrastructure and products to our corporate customers. On #12, you can see our ambition on leading on the network side. So you see that in 2025, we continue to build out FTTH in Switzerland and also increase our coverage in Italy. So interestingly enough, we have exactly the same FTTH coverage in both countries, at 56%. Our target in Switzerland is to continue the FTTH rollout and reach 60% coverage by year-end, with still the same ambition 2030, roughly 75% to 80% and our long-term ambition 2035, when we end the fiber rollout, of roughly 90% fiber coverage. In Italy, as you know, Open Fiber and FiberCop continue to roll out FTTH. This also increases the Fastweb + Vodafone FTTH coverage. If everything goes according to plan, the target is to reach 65% FTTH coverage in Italy by end of this year and roughly 90% at the end of 2030. Next to the FTTH side, we also continue to roll out 5G in both countries. So we also have exactly the same 5G+ coverage in both Italy and Switzerland standing at 89%. We target roughly the same percentages for next year with 91% coverage in Switzerland and 92% coverage in Italy with the long-term 2030 ambition of roughly 95% 5G plus coverage. In both countries, we are constantly winning network tests, demonstrating that we do indeed have the best networks for our customers. Networks is the basis of what we do. But obviously, you also need to sell and service our customers. So investing in service excellence and sales excellence is an important aspect of our strategy of delighting our customers. So in both countries, we continue to invest in our customer loyalty programs with Happy in Italy or Swisscom Benefits in Switzerland. These programs are highly appreciated by our customer base. And we will continue to add value to these loyalty programs going forward. We also continue to invest in our sales and care network to make sure that on -- it is of high quality, highest excellence but also expanding the footprint as we will see a bit later, especially on the Swiss side. We also have many or multiple brands in both markets, which we intend to continue to use as it is an important aspect of tiering the retail market and being able to offer premium products up to like the no-frills offering in the budget segments of the market. Next to networks and sales and service excellence, an important aspect of the strategy you've seen, is to continuously innovate and bring new products to the market. I think Swisscom and Vodafone and Fastweb are innovation powerhouses. We never stop bringing out new ideas and new products to our customer base. At the moment, the most important aspects of these innovations are centered around network renovation internally to make sure that we have state-of-the-art networks in the core in Italy and in Switzerland, and then a lot of it is centered around AI and cybersecurity, making sure that our customers cannot only connect but also connect securely. So this is done through the beem offering in Switzerland, for example, which we launched in the last year. And in both countries, we invest heavily on the AI side to provide sovereign AI infrastructure to the market. Next to this, we also expand our cloud and application offerings. And especially in Italy, we are focused on the energy market, which is liberalized, which allows us to grow on that side. And you have seen that we have already managed to win over 100,000 customers, which is an excellent result and very pleasing, also encouraging for this year as we expect quite a lot of growth coming from the energy space also in 2026. So you can see innovation is really at the core of Swisscom in Italy and in Switzerland, and we will continue to focus and invest heavily in these topics as we believe that this is the only way to constantly bring more value to our customers and also generate new revenues and compensate in some form or the other, the price erosion that is happening on the, let's say, classic connectivity in mobile and the fixed space. Another important topic everybody talks about is obviously AI, and we cannot conclude this analyst presentation without talking about AI. So AI has many important aspects. One of them is obviously generating new revenues with new product offerings. So for this, we have offerings in both markets that allow us to sell professional services, helping our customers using AI and implementing AI solutions. So we have offerings both in Italy and Switzerland to do this. We help customers working on LLMs, on new models, on tuning models. We rent model as a service, or we go up to the infrastructure level where we have an NVIDIA infrastructure in both countries, allowing to run AI workload in a sovereign mode. So you can really see that on the B2B space, we cover the full value chain from consulting up to infrastructure to really help our customers use this new technology. And hopefully, for us, this brings new revenue for the company. We also use AI internally for 2 purposes. One is delivering a better customer service at a lower cost, being it in network or in customer care, for example, but also to drive up and cross-selling churn reduction, churn prevention and stimulate sales with the right message at the right moment for the right customers so that we can trigger the best conversion rate in upselling and cross-selling and customer value management or customer base management, around which we are experimenting a lot with AI initiatives to drive sales in our core market segment, mobile and fixed. So we have overall 3 elements on the AI, which are important: driving sales on our existing offerings; becoming better and more efficient; and selling new AI dedicated services to our B2B customers, but also in the B2C space. Last but not least, on the innovation side, I want to talk about sustainability. Sustainability today, from my point of view, is not optional, but it needs to be very well integrated with our group strategy. So we really want to be at the forefront of sustainability because we believe that it not only is obviously good for the planet, but at the same time, it also helps us to drive business performance if we take care of our environment, but especially if we also take care of our society, about suppliers, employment conditions and act with the right governance. Especially behaving in a trusted, ethical way, which from our point of view, is absolutely mission-critical for our brand positioning in the market and being able to sell to our customers digital services like cloud, cyber or AI services, which are rooted in a deep trust that we treat the customer data in the right way, which is very tightly linked to behaving in the right way from a governance perspective. So you can see that the ESG topics tie very neatly together with our business strategy and is really sort of underpins or helps us to drive business performance by, at the same time, doing something good on these dimensions. So we are committed to continuing our path. For the first time in the history of Swisscom Group, we have a group-wide sustainability strategy, which we put in place now post Vodafone acquisition. So this is something I'm very happy about. And for the first time also, we have an integrated annual report, which tackles all the financial and ESG topics under a simplified CSRD framework. So you can also see that we are making progress on the financial reporting side, which I'm very pleased about. So we're coming to the performing side. So what will be the result of all of these actions we talked about or the priorities in this year. So for Switzerland, it is clearly managing the telco top line, slowing down the service revenue erosion by working on new levers with new products or the price increase we announced a couple of weeks ago. We continue to work on telco cost, aiming at delivering cost efficiencies again in 2026. And of course, we want to continue to grow profitably on the IT side. And overall, if we manage to execute these 3 priorities properly, we will have stable free cash flows from Switzerland in this year. On the Italian side, the most important topic is obviously to continue to drive the integration and capture the synergy potential that we announced when we signed the deal. And Walter will talk a bit more detail about how -- what we intend to do this year. We will continue the telco turnaround that we started last year to stabilize service revenue in Italy, both in B2B and the B2C space. And as in Switzerland, we will continue to scale the IT part of our business but also the energy business to create new revenues and go back to top line growth in Italy in the next quarters. Upon executing those 3 priorities, we will also then have growing free cash flows from Italy, so that overall, on the group level, we also have growing cash flows coming out of the group. This was it on the group strategy update. I will now move to chapter -- the next chapter, which is the business update in Switzerland. I will start with Slide #19, where you can see the 2025 achievements. So I think we really successfully reinforced our #1 -- or our position as #1 customer choice in Switzerland. We had a lot of activity around delighting our customers. We worked a lot on our branding, our positioning. We had a big brand update in the Swiss market, which we executed, with very positive feedback. We continue to expand our shop footprint to reach our customers even better, and we managed to win all the services, as I already mentioned before. At -- as we improved and delighted customers, we, at the same time, optimized our cost base. So you can see that we delivered another year of telco cost delivery of over CHF 50 million of cost savings that were delivered. And we started to work more intensively now also on CapEx efficiency that we continue to improve also this year going forward. Overall, we invested over CHF 500 million in the FTTH rollout, and we are fully on track to achieve our targets by 2030. And we are also focusing quite a lot on the fiber monetization, and you will see some numbers later on that we made really great progress, especially on the fiber penetration side. The IT growth continues. It was slightly lower than expected in 2025, but we continue to be committed to the IT growth and continue to invest both in the cloud and security space, bring out new portfolios to really drive also the revenue growth in this year. And what I'm really pleased about is that we were able to further improve the profitability of the IT business, and we also plan to further improve profitability in this year. Now what does this mean for B2C? You can see on the B2C, overall, we have like a dual strategy in the market. We need to defend our core market. At the same time, we attack with the second and third brands to overall keep the value as high as possible. You can see that the blended ARPU is still declining in Switzerland, roughly CHF 1. This is mainly linked to the fact that we still have a brand mix shift from the main brands to the lower brands with Wingo and Coop and Migros Mobile. Essentially, the prices on the individual brands are roughly stable. We have executed a price increase last year on Wingo, plus CHF 1. And you have seen that we announced now a price increase also on the Swisscom main brand, and we will see the impact of this going forward in 2026. Really, I think, highlight also on the B2C side is the increased fiber penetration, which went up by 7% last year. On the one side, linked to the increased fiber footprint, of course, that we built, but we are also very actively working on the copper decommissioning so that we can shift customers over to the fiber network wherever there is a fiber network and the copper network in parallel. And you can see the effects of this now going quite impressive uptake of plus 7%. This will be one of the main priorities also in this year, continue the rollout, continue penetration and counter the ARPU pressure with the best service, the best products so that we can keep the NPS high and churn low. This, you can see in the middle, we have quite a big NPS lead in the market compared to our competitors, and we continuously work on this to make sure that our customers continue to be happy, which they seem to be as we have record low churn. You can see on the right-hand side, 7.3% on mobile and 8.5% on B2B -- on the broadband -- sorry, not B2B, on broadband. And we continue to work on keeping this lower churn level, one, by customer satisfaction, but obviously also by extending things like the Swisscom Benefit program to make sure that the customers, which are with us, remain happy and loyal to the brand. Overall, we managed to win 100,000 RGUs, accumulated over the year. You can see that the second and third brand penetration slightly increased. On the mobile side, went up to 36%. And on the wireline side, we had a slight decrease of 17,000 net adds, whereas the second brand penetration increased also by 2 percent points to 30%. And we do expect a similar movement again in this year. Now on Page #21, you can see also some more information on the B2C business. We continue to grow in entertainment, sports and streaming. So we have another year of growth on the blue sports subscription side by plus 3%, and we will continue to invest in this adjacency also going forward in this year to make sure that customers not only buy broadband, but also TV and other adjacent services in the entertainment space. Something which I'm very pleased about as well is the launch of new AI offerings for consumers in Switzerland. So we launched Swisscom myAI, which is basically a sovereign ChatGPT for customers, which we launched a couple of months ago, and we were able to attract 67,000 users on this platform. So this year, our focus will again be to expand capabilities of this AI solution for consumers and continue to accelerate the growth and make sure that as many customers as possible start using our AI solution. So this year will not be so much about monetization of this offering, but rather growing the customer base, and then we will look into monetization a bit later down the road. Another key topic that we are driving this year is security as a differentiator. So we not only want to have the best network, but also the securest network. So we launched a couple of products like a security dashboard or identity monitor last year, and we will continue to launch new security features also going on this -- going forward this year to really make sure that security becomes like a new growth avenue for us. As you can see that last year, we were able to grow revenues by 4%, and we will continue to invest and launch additional security features for consumers going forward as we do believe that next to connectivity, having a secure connectivity is absolutely crucial for our consumers. The more they are in the digital space, the more they use digital services, the more cybersecurity and protection will becoming -- will be more important. And moving on to B2B on Slide #22. First, you can see ARPUs are down by minus 2%. So there is still quite a lot of price pressure in the market. This has 2 effects, I would say. One is really the competitive pressure in the market, both in corporate and SME, but also still ongoing technology shifts such as MPLS to SD-WAN, which allows customers to substitute the high-value connectivity with lower-end connectivity that basically drives down our average ARPU per product. The RGU base is roughly stable, slightly increasing overall. Whereas it's growing on wireless, it was slightly declining on wireline as we lost a couple of bigger corporate customers in 2024. And over the last year, these locations have been migrated that led to a slight decline on the wireline side in the last year. We talked already several times about beem, and I think we will talk about beem every quarter this year because it is really a key cornerstone of our new connectivity proposition on the B2B side, really unifying connectivity with cybersecurity. So we launched it about half a year ago. We managed to bring nearly 40,000 users and nearly 1,000 locations onto the new platform. We are very pleased with these numbers. They are ahead of our expectations. And we continue to drive sales now going forward in this year to really ramp up as much as possible the number of users and locations onto this new and very innovative service. And as you can see, there is quite a big market demand. There is good response we see from our customers, both on the corporate but also on the SME side. And we will continue to invest in this product, bring out new features, new capabilities, which are especially important to our bigger SME and the corporate space so that we can really fulfill the full breadth of cybersecurity offerings so that we can drive revenues with beem not only this year, but especially also in the outer years '27 and onwards. One important aspect to drive the beem take-up on the wireline side is the SD-WAN technical migration. So this is something you see at the bottom of the slide. We now stand at 67% of all wireline connections, which have been migrated from MPLS to SD-WAN. And we strive to complete this migration by end of this year, so reaching 100% SD-WAN base in our wireline business of B2B. This is also the necessary requirement so that you can move on to the beem offering, because on the beem side, everything is software-driven. So this is an important aspect that we will focus on this year so we can finish the technical migrations. And once this is done, also ARPU effects from MPLS, SD-WAN movement should start to fade out. You will obviously still see them in '27 as you have the year-on-year comparison with '26. But over the -- going forward, at least this sort of structural technology effect will fade away over time. On the NPS side, we had a successful year in '25. We have a great NPS, both in corporate and SME, and we're able to keep it stable overall. Now moving on to wholesale on Page #23. We are the leading wholesaler in Switzerland, and we want to defend this position. I think we are doing a great job on the wholesale side. We have high customer satisfaction with many, many customers that we are serving. What is important or especially important with regards to the fiber rollout is that we can continue to drive the access service revenue on the wireline side. So you see this on the bottom left of the chart. We had a 9% growth in wireline revenues, from the access side going from CHF 186 million to CHF 203 million in 2025. And we intend to continue to grow this access revenue as the fiber footprint continues to grow and as we continue to monetize our infrastructure. What is also especially pleasing is that on the wholesale side, we already have more than 50% -- or precisely 51% of all active connections are already on FTTH. 49% are on our copper network, and we expect this FTTH share to continue to grow throughout 2026. And what this means is that basically the service revenue you see this CHF 203 million are generated already by over half by the fiber side, meaning it is future-proof. It is protected also going forward. And I think this is an important aspect of making sure that the wholesale revenues we have on copper are migrated to the FTTH side as we continue to build out the network. Now next to revenue, obviously, cost is also an important topic in the telco space. So you can see on Page #24, what we are doing on the cost side. So we have many different levers that we are pulling on to decrease our cost base. So one of them on the -- in the service center side is increasing the near-shoring share of our workload. So you see the advancement that we made in the last year, and we will continue to nearshore more of the outsourced workload also this year to generate cost savings -- or like a factor cost savings. And at the same time, we are also working on the digitization of customer service, where we have very encouraging results on the chatbot side. So you can see the automation rate or basically the number of incidents that the chatbot can really successfully autonomously solve, which has gone up from 30% to 53%, meaning that we can serve much more customer incidents through the chatbot channel, making it a much more effective channel and allowing us to generate more cost savings in the future. Now with agentic AI and progress in AI, we do expect this 53% to further increase over the coming years and making this chatbot -- and also increasingly voice bot, so voiceifying the chatbot service and a much better and more effective channel going forward on the hotline side. We're also experimenting with digital features in shops. We are trying out or experimenting with new lean shop format. So we want to increase our shop footprint, meaning having more shops throughout Switzerland, but at the same time, decreasing our cost base in the shop side. So we do this by digitizing shops on one side, by having new leaner format. So one of them is, for example, we have like pop-up stores, which we only have on weekends in shopping malls. And so we are experimenting with different aspects to always optimize the cost of sales in the physical channel. We are not only doing this on the B2C side, we are also obviously working on workload or call center workload on the B2B side. So you can see at the bottom the achievements we have on the B2B side, workload reduction by simplifying our product portfolio. Moving to FTTH, we have less costs also on B2B. And overall, this allows us -- or allowed us to decrease the B2B telco cost base by 4% year-on-year in '25, and we will continue to work on our telco cost base also -- or B2B telco cost base going forward this year. Now on Page 25, you can see some highlights linked to the network, where we also focus on generating cost savings. So one of the structural cost savings that we will see also going forward is obviously the copper phaseout. So at the peak, we had 2 million copper -- active copper connections inside Swisscom. Today, we stand at 1.6 million active copper connections. That's minus 20% over the past 2 years. We reduced by 200,000 the number of connections in 2025 and expect a roughly similar decline also this year by, again, a drop of around 200,000 copper line. So you can see that we are making good progress on the copper phaseout side, and we are completely on track to achieve our phaseout target of 2035. We are not only working on the access networks. We're also working very heavily since many, many years, basically since I'm at Swisscom in 2019, we are working on modernizing our core platforms. So you can see that in 2019, we had 57 core IP optical platforms. We are now standing at 35 platforms, and we continue to modernize and phaseout older legacy platforms, and our ambition is to reach 18 core platforms within the next 2 years, meaning a 70% reduction compared to 2019. And this is obviously also generating continuous cost savings as we are able to turn off certain platforms, both in FTEs, but also electricity, maintenance costs, et cetera. So going forward, we are focused to deliver more telco efficiency. Our guidance for this year 2026 is CHF 50 million cost savings in Switzerland, working on the same levers as the past, network and IT simplification and phaseout, data and AI, leaner and more agile organization, factor cost optimization with near-shoring and more and more digital customer interaction on B2C and B2B. Now last topic on the Swiss side, B2B IT, on Page #26. Sorry, I just need to have a quick drink. So we are the leading Swiss IT provider in Switzerland, and we want to lever this position to unlock more growth. You can see that in 2025, we were able to grow plus 2%, which is slightly below our expectations. But last year was not an easy year in Switzerland on the IT side with all the tax uncertainty with the U.S., with macro -- other macro uncertainty, leading many of our customers to delay some of the IT or redimension -- some of the IT investments. So I'm pleased that we still managed to generate a slow -- small growth of 2% in these market conditions. At the same time, we worked on our cost base on the IT side. We improved our EBITDAaL margin to 6.5%, and we are intending to further improve this margin also going forward in this year. We do this by continuously also automating and digitizing service offering on the B2B IT side. And as I already mentioned before, we will continue to push the AI side and the private cloud, sovereign cloud offerings at the same time as leveraging our strategic partnerships with several different vendors in the IT space. Now to summarize all of this before my voice completely stops working. We focus on managing the telco top line, trying to slow down the service revenue erosion by growing wholesale -- the wholesale access by, at the same time, working on the best products and care. We will continue to generate telco cost savings with high discipline, both on OpEx, but also working on CapEx efficiency. And as mentioned previously, we are working on our IT side to, on the one side, grow the IT business and make it more profitable and achieving all of these 3 objectives. Overall, we will deliver stable free cash flows in 2025. Now Walter will explain to you how we will grow free cash flows in Italy.
Walter Renna: Thank you, Christoph. Welcome to everybody also from my side. We are at Page 29. I'm very happy to say that through this has been a transition year for Italy, as Christoph said, but we are very happy about the results. Why? For 3 reasons. First of all, we delivered on promises, especially on synergies. You will see that we are ahead of the plan. We also delivered a stable free cash flow despite all the challenges of this year. And last but not least, we set the foundation for the future growth from this year onwards. So let me enter into the main achievements of this year. Of course, integration is the first one. We started very early in '25 to integrate the 2 organization. And now we have a fully integrated single team that is driving the business. We also aligned the go-to-market and the product portfolio of the 2 brands, Fastweb and Vodafone. And as I said, we have delivered -- over-delivered on synergies. This is very important for us because this shows that the rationale is confirmed and even reinforced. Another important strategic project for the year is the RAN sharing agreement with TIM, is a preliminary agreement, still subject to authorization, but it is extremely important for us because this will bring us additional value in the medium term. Why? For 3 reasons. First of all, this will accelerate the 5G rollout in the low-density areas, namely the towns with less than 35,000 inhabitants, therefore, will bring more value to our customer. A better service, a wide 5G coverage, so good for our customers. Second, this model allow us to be totally independent from a commercial and technical point of view, so we can bring our own innovation on those areas. Last but not least, again, the efficiency gains, because we'll save electricity, we'll save maintenance, and this will bring additional value to the company. As I said, the other priority for us was -- continue to be the stabilization of our telco service revenue. We have started the year with main KPIs going in the wrong direction, but we were able to change this trend all over the year. So we are very happy on how we are executing our value strategy. Value strategy, which means we bring more value to our customer, and we can continue to work with them with new products. But there is not only stabilization of revenues, we have worked also to develop new growth areas. So wholesale is one of those. Both on fixed and mobile, we are continuing to grow, and we'll discuss in a second. But also energy is growing very well together with the IT in the B2B market. Page 30, I will deep dive the integration. I said, for us, was key and crucial to start working together as Fastweb and Vodafone, so we achieved to have a single team already in place by mid-'25, and then we worked to align processes -- HR processes but also to set a new framework for the new culture of the company. So in '26, looking forward, we are working to optimize our organization. There are still areas of efficiency that we want to gain, but we need also to establish and implement the new winning culture that we are designing together with the old employees. Another important aspect is related to the integration of our product portfolio, but also of our sales force, both on fixed, mobile, both on B2B and in B2C. As you can see from the slide, already, all our shops have been changed to a dual branding image. So in all shops, you can find both Fastweb and Vodafone products. This is an improvement and a boost of the sales of the 2 brands. And then our operating model. Our operating model is changing. Since January this year, we have completed the legal merger between Vodafone merged into Fastweb. This will bring massive simplification for our processes. So we need to work along this line also in '26 for simplification of processes, consolidation of location all over Italy and also aligning HR policies for all our employees. Next page, synergies. As said, we are progressing very well. We are very happy about the progress on the synergies, especially on the migration of the faster mobile SIMs, the 4 million SIMs on the Vodafone network. This has enabled us to reach the EUR 200 million synergies up and running for '26. So we completed this migration ahead of plan. So we are very happy for what we did. We'll continue to work on synergies in '26. We need to work on fixed network because we need also to optimize the access cost by leveraging on the best-of-breed footprint we have in Fastweb and Vodafone, which will bring additional efficiency, but also new technologies to our customers. Another important element is that we are working on reviewing our tower strategy. The current terms and conditions of our contracts are not sustainable, especially in light of the telco market that is very competitive and with strong pressure on margins. So we will work on that front. We unfortunately cannot say much. As you know, this is a very sensitive topic. So please understand that we will not answer any further question on this topic. I can only say that, as usual, we try to work with our partner to find a win-win solution. But at this stage, we will investigate all the options that we have on the table to maximize the value for our shareholders. Another important piece of the synergies that we realized in '25 is the disentanglement or the in-sourcing of some services that are currently provided by Vodafone Group. So we worked very hard with our teams to define migration plans and to start executing on those. Just to give an example, we are very proud that at the very beginning of the year, we've been able to introduce our Wi-Fi 7 modem on Vodafone customer that is completely managed by us. This has brought simplification on processes and efficiencies on cost. So we will continue to work on new services to in-source, but we will also continue to collaborate with Vodafone Group where we see that there is a value in working together. So all in all, in '25, we overachieved the synergies by EUR 35 million, very happy about that. And we are on the right trajectory to reach the EUR 600 million at 2029. So now we are working on consolidating IT, on consolidating the networks and to further optimize the external spend. Page 32, B2C. As you know, consumer market is very complex, is highly competitive, but we decided to exit the volume strategy which focuses only on promotion. So we moved on a value strategy. Value strategy means bring value to our customer in a more-for-more approach. For this reason, we worked very hard on our product portfolio, on our pricing, to bring to our customers the best products on fixed and mobile. It's not only that, we also worked on quality. We are increasing the customer experience to our customers. And this has turned into a very satisfactory trend of the ARPU in outflow gap, which has been reduced by 60%, both on fixed and mobile during the '25 if compared to last year. So if you look to the customers, you see that on mobile, the customer losses are 2.7%, true, that you don't see improvement there. But to be honest, in that losses, most of them are related to low-value customers. We are talking about tourist SIM. We are talking about second SIMs. We've been able to keep and develop our customer base -- our high-value customer base. On the B2B, it's more evident the result of this strategy. As you can see, the losses on fixed are reducing quarter-on-quarter. We are very happy about this development, which again set the trend for 2026. Another important pillar of our value strategy is also to deliver transparent and simple offer to our customers. And this is extremely important because if you treat well the customer, then they will stay with you. And this is very evident if you look to the churn reduction in mobile and fixed, which has been very satisfactory to us. Last but not least, we continue to work on enhancing the customer experience. We have seen the NPS growing in all the brands, both on fixed and mobile, and this is crucial because customers start to understand that we deliver value to them, and they recognize our brands as premium brand with quality. If I look at '26, we need to continue on this trend. We need to continue to deliver value to our customer. We need to continue to deliver quality to our customer, to bring new products to our customers that are in line with their expectation. But it's also a matter of being transparent with our customer. This is the reason why we are continuing to align the front book and the back book prices to reduce the in-out spreads and therefore, also reduce the churn and then extend the convergence benefits because the more the customer buys new services, the more they are loyal. Last but not least, we need to work on optimizing sales structure. We need to work on increasing the NPS by continuing to improve the customer experience. And during the course of this year, we will also introduce new AI-driven tools, which will help us both on churn reduction but also on cross-sell and upsell of our services. On Page 33, we talk about B2B in '25. We know very well how to manage this segment. We put together immediately the best of the 2 in terms of product portfolio. So we can deliver the best of fixed, thanks to the Fastweb experience. We can deliver the best of mobile, thanks to Vodafone, experience and skills. We are combining all this and bring it to our customers. And this is extremely important because it's allowing us to gain traction in the order intake. Especially on the high-value customer, the order book is growing very well. This means that we deliver value to our customer, and they are starting to -- they are continuing to buy from us. The churn is also very important. So we started immediately to renegotiate the contracts that were going to expire. We did in advance, and we did with a different approach, which is a value approach. So we started to offer to them more value in exchange of a longer contract. So this is working because we see the churn stable. That you can see also on the RGUs that are growing on mobile, thanks to TM9. Pretty stable on fixed, thanks to this strategy. Also NPS for us remains key also in the B2B. We are #1 on fixed with the Fastweb brand. #1 on mobile, thanks to the Vodafone brand. We'll continue to work and bring innovation to our customers, also working on some initiatives like the mobile private network, which shows how we can deliver also complex project to our customers. On '26, again, we need to continue to work along this line. Order intake will continue to grow also in '26. We will continue to simplify our product portfolio in order to offer always the best products to our customers. We need to work on churn but also to optimize and maximize the value of our complementary public sector tenders. Again, also for B2B, customer experience is key. We'll introduce AI in the operations also in the B2B, and this will bring us additional value for this segment. Wholesale. For wholesale, was a great year '25, both on fixed and mobile. You see on this page, the growth that we did on fixed, over 200,000 lines, but also mobile, over -- almost 2 million lines added to our network, thanks to the CoopVoce migration on our net. This shows the superiority of our proposition, the quality that we deliver through our network. But as you can see, we are not only working on the network, we are also delivering operational excellence. You see a couple of KPIs that are improving significantly. The activation process is shortening and also the 1-day resolution is improving considerably. So in '26, we'll continue to grow in the ultra broadband market, leveraging on our strong customer base. We will try to drive up the FTTH because we see more value on those customers. And so we will continue to strengthen the operation on that front. We will also continue to work on the mobile. We would like to minimize Poste losses that will happen this year. And we are also working to find new customers. One of those is Sky that will launch in the course of 2026. Energy, another important key driver of growth for us, both on consumer and B2B. We launched energy in mid-'24. And now after 1.5 years, we are very happy about the development of this service, especially in terms of growth of customer. You see we are over 100,000, but we are growing also in terms of new acquisition. We did 141,000 acquisition in 2025. So we will continue to scale up this service, this business. We opened the Fastweb Energia offer to the Vodafone customer base. We still see space of growth on that front. We are also opening new -- continuing to opening new sales channel to Fastweb Energia. We are very happy about the development on the B2B, especially in the small and SOHO business, where we see still space for growth. So we'll continue to work to increase the customers on that front. But we will also work on the value creation as we want to evolve from a pure reseller towards a market operator. This will increase the margins that we do on those services. And energy is also very important to strengthen our convergent proposition because we will push more and more on what we call super convergenza, fixed, mobile and energia together. This will bring additional value, additional loyalty from our customers. B2B IT is another important driver of growth in the B2B market. We are working on 3 main products. One is cloud. Over the course of '25, we have invested in building a strong product portfolio which is based on sovereignty but also on the capability to offer a multi-cloud proposition to our customer. So as you can see from the picture, we have our own proposition, FASTcloud. It's 100% built from us. So it's bringing sovereignty 100%, but we have also a significant partnership with AWS and Oracle that are growing very well in the cloud market. Cybersecurity is another important element of our proposition. We offer network security but also cybersecurity services to our B2B customers. We will introduce AI also in that front to enter also these SoHo/SME market, where you need more automation in order to have a proposition that is compelling with this segment. Last, AI. AI is key, as Christoph said, in our strategy. We have developed internally in Italy an end-to-end solution for our customers from the infrastructure, we have a supercomputer in Milan, which we can leverage. We have our own LLM models. We are developing new application on top to that. We want to bring all this to our customer to offer them a sovereign proposition but also compliant with all the regulation in Italy and in Europe. This business is developing very well. As you can see, we have over 25,000 licenses sold in '25, mostly to SoHo/SME, but we are very happy the result of this new segment. So in '26, we need to work to expand the services to continue to grow on that front and to bring more value to the overall company. Last slide from my side. Again, we are very happy about what we did in '25. We are working very hard to integrate 2 big companies. We are now already have a single organization working. We need to have a single culture, a successful culture and a future-proof operating model. This is the focus of this year. But we need also to accelerate on synergies, ramp up. The target of this year is EUR 300 million. We are fully on track to deliver on that. So we are -- we will deliver on that front. Second priority is to continue the telco turnaround. You have seen KPIs changing direction in the right direction. So we need to continue to execute our value strategy, and we need to continue to grow on the wholesale business despite the losses of Poste. Last but not least, again, scale growth, thanks to energy and IT, new businesses that are growing very well. We have a good product development in place. So we think that with these 3 pillars, we can continue -- we can start to generate growth in the midterm. Thank you very much, and I leave the floor to Eugen.
Eugen Stermetz: Thank you, Walter. Hello, everybody, from my side. Let's move on to the numbers, Page 39, maybe a sentence or 2 at the start. Christoph mentioned it, 2025 was a new chapter in Swisscom's history, from a financial point of view, that chapter made for very pleasant reading. So I'm quite happy to present these numbers today. All the numbers that we are going to see are in line with guidance and in line with previous Capital Markets communication. We delivered what we promised at the outset of the year, stable free cash flows from Switzerland and a transition year in Italy, which incidentally also delivered stable free cash flows from Italy. So we are very happy with the results. Happy to turn the page to 2026, to grow free cash flows but before we do so, let's dive into all the results of 2025 in the appropriate detail. As usual, I'll start with the group overview and then deep dive into the segment Switzerland and segment Italy. So let's start with revenue at group level. Revenue was CHF 15.048 billion, fully in line with guidance. CHF 310 million down year-over-year, CHF 105 million of which were due to currency effects. So net of currency, revenue was down CHF 205 million, CHF 108 million out of which from the segment Switzerland, mainly reflecting lower telco service revenues, CHF 77 million lower in Italy, reflecting, on the one hand, lower telco service revenues but on the other hand, compensating higher revenues from the IT business, from the wholesale business and the energy business. On the level of EBITDAaL, CHF 4.984 billion, also fully in line with guidance. On a reported level, down CHF 60 million. On an adjusted level, down CHF 100 million. I will cover all the adjustments in individual segments. It's easier to explain in Switzerland and in the Italy segment. So Switzerland was down just CHF 27 million EBITDA on an adjusted basis. That's the net of telco service revenue down on the one hand and cost savings on the other hand, and the positive contribution from the IT business, Italy was down CHF 54 million. That's the net of the impact of the telco service revenue decline but also synergies already kicking in, starting mainly in Q3 and then accelerating in Q4 and also the result of the very pleasing wholesale growth that we already heard about. We have a jump in Q4 that you see there with plus CHF 41 million. That's partly driven by synergies, but not only, and I'm going to explain it later when I talk about Italy. . I'll move on to Page 40, which covers CapEx and operating free cash flow on group level. So CapEx at group level was CHF 51 million below prior year. On an adjusted basis, CHF 102 million below prior year, both in Switzerland and in Italy, we had some onetime CapEx item in 2024. So that helped us together, obviously, with the usual cost discipline to deliver lower CapEx in both countries. Obviously, in Italy, there was also integration CapEx, which we are going to talk about later, which is shown in the adjustments. But on an adjusted basis, CapEx was down. Now on operating free cash flow, with EBITDA down and CapEx down as well, we were able to deliver stable operating free cash flows both reported and adjusted. In Switzerland, EBITDA is slightly down, CapEx slightly down, stable operating free cash flows and the same in Italy, EBITDA down, CapEx down and stable operating free cash flows. . Now let's dive into Switzerland, Page 41. Revenue down CHF 108 million, B2C minus CHF 24 million. So we had lower telco service revenue in B2C of minus CHF 52 million, but higher hardware sales, which compensated partly at a hardware device push in the market in the fourth quarter. And this is why in Q4, you see a slightly positive number on revenue. B2B down CHF 80 million year-over-year. There is obviously a telco service revenue component to that of CHF 70 million. But that revenue decline is at least partly also by design because we also have lower hardware revenues as we try to avoid having revenues with 0 margin and focus on the higher-margin business, a strategy that we already explained a couple of times over the course of the year. And then there was another positive effect compensating partly the service revenue decline, which was moderate growth in the IT services business. On wholesale, plus CHF 4 million doesn't look like much. But behind that, there is steady growth in the wholesale wireline business, Christoph showed the impact before. This was masked somehow by smaller leased land businesses and mobile back holding and in particular, in the fourth quarter, also some lower termination revenues. So there are always some volatile elements in the wholesale revenue, but the underlying trend, which is important is the growth in the wholesale wireline business, in particular on FTTH. Now EBITDA in Switzerland reported plus CHF 33 million on an adjusted basis, minus CHF 27 million in between 2 adjustments of CHF 60 million. Now we had sizable adjustments over the course of the year, which I explained in the individual quarters. Most of them are a wash in the end. So what shows up in the end here is plus CHF 60 million compared to prior year is exactly the transaction costs in relation to the Vodafone acquisition that we booked in segments Switzerland in the prior year. Obviously, there are no such transaction costs anymore in 2025. So we have a positive year-over-year effect that shows up in adjustments. So if we focus on the adjusted numbers, B2C, first, minus CHF 19 million EBITDA. That's due to a service revenue decline of minus CHF 52 million, which we could compensate partly by cost savings, indirect cost savings, but also lower subscriber acquisition costs softening a bit growth from the telco service revenue decline. In B2B, EBITDA are down CHF 44 million. That's also due to the service revenue decline. On the one hand, we had some cost savings and in particular, we had a small positive contribution from the IT business. Wholesale is up in line with revenue and Infrastructure & Support functions segment. ISF, up CHF 32 million. There is a number of cost savings in there, obviously, from workforce savings, IT cost savings, maintenance and energy savings. I'll dive into the Swiss P&L next on Page 42. On the top left, you see the telco P&L with the service revenue decline of minus CHF 122 million, minus CHF 52 million B2C and minus CHF 70 million B2B entirely as expected and as communicated already in Q3. You also see there up on the top left in the box, the plus CHF 53 million cost savings, which partly compensated the service revenue decline. Also the number completely as expected and also as expected and previously communicated, a small contribution only in Q4 of 2025. Together with some other smaller moving pieces, this yielded an EBITDA decline of CHF 40 million in the telco business that you can see on the top left chart. Top right, IT business growth of CHF 24 million in revenues year-over-year and a positive impact on EBITDA of plus CHF 13 million, which helped balance the Swiss EBITDA together with minus CHF 40 million from the telco business. This adds up to the minus 27 of the segment Switzerland that we looked at on the previous page. Now importantly, telco service revenue bottom left, there is actually not much to report, no news is good news. We are facing a very stable situation here. There are some variations from quarter-to-quarter, for example, in B2C, but overall, the situation is very stable. So I'll go directly to the outlook for 2026. We expect service revenue in Switzerland in the same order of magnitude as we saw in 2025. Yes, there is the price increase that we announced in January. But obviously, this price increase will have a gross effect from the price increase and after churn, a net effect. And as of today, we obviously don't know yet how big this net effect is going to be or how big the churn is going to be, number one. Point number two, important for you to understand the dynamics already in 2025, we had a non-insignificant increase or positive impact on our service revenue out of price increases. You see it in the B2C wireline ARPU column of this page, where you have a small sentence that says plus CHF 33 million value. So this is the year-over-year result in 2025, out of all the small targeted price increases that we already realized in 2024 and beginning of 2025. So in the dynamics from 2025 to 2026, yes, there is a new across-the-board price increase but we already had price increases in the past and the dynamics, therefore, we do not expect to change significantly. I'll move on to Page 43. CapEx, as I mentioned, slightly down in Switzerland with plus CHF 33 million. We spent as planned, CHF 500 million on the fiber rollout. And so with lower EBITDA and also lower CapEx, stable free cash flows from Switzerland on an adjusted level and reported level plus CHF 66 million. Let's dive into Italy. Starting with revenue. Revenue -- now that's all in euros, by the way. So revenue down EUR 81 million mostly due to B2C. B2C revenue was down EUR 100 million. There is a telco service revenue decline of EUR 160 million compensated, however, by the growth in energy that Walter mentioned before and by some hardware revenues that were growing as well. In B2B, down EUR 16 million year-over-year. There was also telco service revenue declining B2B of minus EUR 66 million, but the IT -- the growth in the IT business of EUR 42 million was able to compensate most of that. Very importantly, on wholesale, strong growth, both in wireless and in wireline, actually much more than you see here in the plus EUR 37 million total. So wireless and wireline together was about plus EUR 70 million, but we had some other wholesale revenues with practically 0 margin, which went down year-over-year, which we inherited from Vodafone. So you see the net effect of all these 3 positions here of plus EUR 37 million. Obviously, the margin impact of wireless and wireline will show up in the EBITDA bridge. To which I move now, EBITDA reported stable plus 1% on an adjusted level, minus EUR 57 million. Now the adjustments in between of plus EUR 58 million, that's mainly the decrease of OpEx integration costs year-over-year. You may remember that last year, at the end of the year, we already booked OpEx integration costs in the amount of EUR 176 million in connection with the termination of our MVNO agreements with WindTre and with Telecom Italia. This year, we also had OpEx integration costs of different sort of EUR 109 million. And so OpEx integration costs in '25 were actually below 24, and this shows up as a positive impact here in the adjustments column. So if we focus on the adjusted numbers, contribution margin, B2C, down EUR 93 million. That's obviously mainly due to the service revenue decline of EUR 160 million, but also importantly, synergies ramping up. So if you look at the Q3 and in particular, the Q4 numbers, so finally, after talking about the MVNO synergies for the last 2 or 3 years, we see the actual numbers. You see these numbers are kicking in, in Q3 and Q4 where we almost reached a run rate of these synergies on a quarterly basis and which is obviously very nice to see. B2B contribution margin flat. There is 2 things driving this really. One element is the shift from telco service to IT services, which has a negative impact that you see throughout most of the year, if you look at the individual quarters. There is a second driver that shows up in the fourth quarter. This actually has nothing to do with '25, but much more with 2024. In the fourth quarter of 2024, Vodafone had some significant negative impact from device subsidies on a large B2B or public administration contract. We don't have these anymore in 2025. So this shows up is a quite significant positive impact year-over-year, but it certainly rather a onetime effect, the underlying trend is rather a shift from B2B telco to B2B IT that we saw in the previous quarters. Together, the Q4 impact in B2C of the synergies and this kind of onetime impact in B2B. Together, these 2 effects explain the jump in EBITDAaL in the fourth quarter in Italy that I talked about at on the very first page. Wholesale plus EUR 34 million, so that's the margin impact of the EUR 70 million plus in wireless and wireline revenues. Indirect costs are more or less flat. That's a net effect of growing costs from the INWIT MSA and from energy on the one hand. And on the other hand, the first synergies coming out of the disentanglement from Vodafone, and there are some quarterly variations in between, but net, it's a flat development. So I'll move on to telco service revenue in Italy, also a very important topic also looking forward. So let's start with the total number for 2025, which is minus EUR 226 million B2C and B2B taken together, minus EUR 160 million B2C, minus EUR 66 million B2B. If we look at the quarterly evolution in Q4, we have minus EUR 60 million, so slightly improved over Q3. In B2C, it looks slightly worse than in Q3. We already heard about the increased churn due to our back book to front book alignment in B2C wireless that was announced in October. So customers could already react to that in Q4. The price increase is effective in December. So what we see is the negative impact from added churn, but not yet much of a positive impact from the higher prices. B2B in Q4 is slightly better than Q3. You might remember, I explained that in the Q3 conference, Q3 was mainly impacted by onetime revenues that we had in Q3 2024 that we were not able to replicate. And now in Q4, things have normalized a bit on the B2B telco service revenue side. Now I think it's important to understand the individual drivers because they tell us also something about how things are going to move forward into 2026. So I'll go one by one. B2C wireless. Yes, B2C wireless RGUs were down year-over-year. ARPUs were down year-over-year. But as we heard from Walter before, churn numbers are significantly down. The ARPU decline is slowing down as the ARPU spread between ARPU in and ARPU out is declining strongly. So we are definitely moving into the right direction, even if it doesn't show up yet in the year-over-year numbers. Similar story on B2C wireline. Yes, RGU's are down. And yes, ARPUs are declining year-over-year. However, if you look at the quarterly numbers, and Walter showed it before, the RGU losses have already come down significantly over the years. So they were mostly in Q1 and Q2 due to commercial decisions taken by Vodafone in the prior year. Churn numbers have come down significantly and also the ARPU is stabilizing. So also here, moving into the right direction. So the short story is we lost a lot quarter-over-quarter from Q4 2024 into Q1 2025 and Q2 2025. Now things are stabilizing quarter-over-quarter but negative impact. So we will all need to be a bit patient, and that takes me to the outlook. So the outlook 2026, very important is clearly better than what we saw in 2025. We expect a gradual stabilization of year-over-year numbers from the second half of the year onwards. In total, we expect a service revenue decline of about minus EUR 150 million, which is significantly improved vis-a-vis 2025. And those EUR 105 million, we expect to be split roughly 2/3 into B2C and 1/3 into B2B. Sorry, that was a long explanation, but I think it's very important to understand the dynamics going forward. So quicker on this one. CapEx, as I explained, down year-over-year and with lower EBITDAaL and lower CapEx, stable operating free cash flow in a transition year, which is obviously very positive. Page 47, synergies and integration costs. So synergies ramped up to EUR 95 million in -- at the end of 2025. Over achieved our EUR 60 million target mainly due to the faster migration of the Fastweb mobile customers on onto the Vodafone network. Also, integration costs were in line with target, EUR 217 million. We talked about the target of EUR 200 million. . Now overall, this doesn't change anything with regard to our plans. So the total run rate synergy that we expect is still at EUR 600 million. The total integration costs we expect over the first 3 years is still EUR 700 million. The ramp-up changed slightly to the better. So the ramp-up accelerated EBIT both on synergies and on integration costs. For 2026, we expect and added EUR 200 million of synergies, so plus EUR 200 million of synergies in 2026, 3/4 of which are related to the MVNO synergies, which are basically already in the bank with the migration having been essentially completed by the end of the year. And on the integration cost front, we expect another EUR 250 million to be accrued this year with EUR 200 million in CapEx and EUR 50 million in OpEx. . I'll move on back from Italy to the group level, free cash flow. Free cash flow was stable year-over-year at CHF 1.4 billion. The equation is quite simple. We are comparing not to pro forma here, by the way, but to prior year.as it was reported. So the equation is quite simple. Operating free cash flow is up after the Vodafone acquisition, which is clear, up by CHF 168 million. At the same time, we have extra interest payments compared to prior year CHF 214 million. And there are some other smaller moving pieces. And so free cash flow remained stable in the group, which is obviously an excellent result for the first year after such a large transaction. I'll move on to net income. This is a very complicated slide. I don't worry, the story is really quite simple. So net income was down CHF 271 million year-over-year. I'll start the explanation at the level of EBIT because this is the simplest thing. So EBIT came in at CHF 1.925 million, down CHF 28 million year-over-year. There are 2 things behind this flat EBIT. On the one hand, there is the increased EBIT, excluding PPA, depreciation. So excluding PPA depreciation, EBIT would have gone up by CHF 208 million. And then there is PPA depreciation, so CHF 236 million of PPA depreciation, which leaves the EBIT basically flat. In addition to PPA depreciation, we have an additional expense in relation with the Vodafone acquisition. And this is the added interest expense. You see the minus CHF 266 million here. Be careful. This is not only financial -- not only interest on financial debt, but this also includes the additional interest on lease liabilities that we acquired with the Vodafone acquisition. So net income is down due to 2 factors, PPA depreciation and added interest. Expense, obviously, this bridge will become much simpler and much more present as we go into the first quarter of 2026. . Just a few words on net debt and leverage and our overall debt profile. So first of all, we were able to reduce net debt year-over-year by CHF 600 million. On the one hand, this is due to the spread between the free cash flow and the dividend payment of CHF 1.1 billion that we paid out in April 2025. And secondly, the lease liabilities out of the INWIT agreement up until 2028 came down because the remaining life was reduced. So leverage came in at 2.4x exactly as guidance. . Our ratings are still excellent and unchanged. S&P and Moody's A- and A2. Our average interest rate is still very low at 1.86%, and we managed over the year -- or over the course of 2025 to further stretch our maturity profile, which is very well balanced now and we have about CHF1 billion to CHF 1.5 billion of refinancings every year in the near term. With that, I come to the guidance. And I'll walk you first through Switzerland, then through Italy and then we'll add it up to the group, bearing in mind always that there is a third segment, other, which typically doesn't have much of an impact, but in the details, it can have. So let's start with Switzerland. . Revenue of the guidance is CHF 7.7 billion to CHF 7.8 billion, so down CHF 100 million. That's telco decor service revenue decline in the same magnitude as in 2025, as I explained, partially compensated by IT growth, simpler bridge. Next, EBITDAaL about CHF 3.3 billion so that's slightly down year-over-year. As usual, and as you know well, we will have a spread between the telco service revenue decline on the one hand and the cost savings of roughly CHF 50 million on the other. And then there is a small contribution from the IT business. So that gives an EBITDAaL in Switzerland of CHF 3.3 billion, which is slightly down year-over-year. CapEx, CHF 1.6 billion to CHF 1.7 billion also slightly down year-over-year, thanks to CapEx efficiencies. And that gives for Switzerland an operating free cash flow of CHF 1.6 billion to CHF 1.7 billion, which is stable as CapEx efficiencies compensate the somewhat softer EBITDAaL contribution. So this is Switzerland. Moving to Italy. Italy, revenue guidance that's in euro now EUR 7.2 billion, so down EUR 100 million year-over-year. I talked about the telco service revenue decline that we expect of EUR 150 million. There is on top the loss of the Poste Mobile contract in the wholesale segment which we expect to impact negatively with minus EUR 75 million. And those 2 negative elements will be compensated by growth in the IT business in the wholesale business outside Poste Mobile and from the energy business. On EBITDAaL, EBITDAaL, the guidance is EUR 1.8 billion to EUR 1.9 billion, so about EUR 0.1 billion to EUR 0.2 billion higher year-over-year. What are the main drivers? Number one, synergies ramping up, plus EUR 200 million year-over-year. Number two, underlying business, down EUR 100 million, Telco service revenue decline partially compensated by the rest of the business. Number three, the loss of the Poste Mobile MVNO will actually be a wash and will not impact the reported numbers in 2026 because we do have an indemnification of a certain size, which is similar to the loss that we have in 2025 from Vodafone. So on a reported level, the Poste MVNO loss will not impact the 2026 numbers, it will impact then the '26 to '27 bridge. So synergies up EUR 200 million, underlying business down EUR 100 million, Poste [ Avosch ] that's EUR 100 million. And then on integration OpEx, integration OpEx will be lower year-over-year. It will be EUR 50 million expected in 2026 after EUR 100 million so year-over-year, a plus of EUR 50 million. And if we add all these elements up, that's business EUR 100 million, change in OpEx integration cost, plus EUR 50 million, we end up with EUR 100 million to EUR 200 million higher EBITDAaL year-over-year. Then CapEx simpler story, roughly stable at EUR 1.5 billion. On the one hand, we will have higher integration CapEx by EUR 100 million, but at the same time, the underlying business as usual CapEx will be down about EUR 100 million. So CapEx roughly stable at EUR 1.5 billion. So the EBITDAaL increase that we guide for in Italy translates into an operating free cash flow increase of EUR 100 million to CHF 200 million. One important note as the business is going to turn around over the course of the year, the operating free cash flow will be -- the operating free cash flow improvement will be backloaded towards the later quarters. So don't be surprised if you don't see too much in Q1 and Q2 out of this growth. Now adding it all up to the group guidance. Revenue CHF 14.7 billion to CHF 14.9 billion. So slightly lower revenues from Switzerland, slightly lower revenues from Italy and a different Swiss euro exchange rate underlying these numbers of CHF 0.92. That all adds up to this revenue guidance. EBITDA guidance, CHF 5.0 billion to CHF 5.1 billion. Thanks higher to Italy, on the one hand and Switzerland, slightly lower. So CHF 100 million higher, CHF 150 million plus out of Italy and slightly lower in Switzerland. CapEx, CHF 3.0 billion to CHF 3.1 billion, slightly down year-over-year, primarily thanks to Switzerland. And so operating free cash flow, which is the nicest part on this slide, CHF 2 billion guidance for 2026, up CHF 100 million roughly year-over-year due to the synergies coming from Italy, as we always said. Now 2 more words on the guidance, leverage and dividend. The leverage guidance for 2026 is 2.3x. We heard from Walter that we are reassessing our tower strategy in Italy. This reassessment will have an impact on our lease liabilities at the end of 2026, but of uncertain size. So given this uncertainty, our guidance of 2.3x only includes the INWIT lease liabilities under the current agreement up until 2028 and does not consider the prolongation of existing or the conclusion of new tower agreements, which will come on top of this number of 2.3x, and we will update the guidance once there is new news on the topic. Finally, the dividend guidance for 2026 is upon achieving all the other numbers here. The dividend guidance for 2026 is CHF 27 per share. Looking beyond 2026 for a second, we obviously remain committed to rock solid financials, focusing on long-term value creation and attractive dividend and a strong balance sheet. And with that, I hand over to Christoph for the wrap-up.
Christoph Aeschlimann: Thank you. Eugen, I will wrap up on Slide 54. I think we emphasized all of these points in the presentation. We strive to be the #1 customer choice, both in Italy and Switzerland by leading the markets. We will continue to create efficiency and innovate and deliver new products to our customers to increase the value we deliver to our customers. And we have, as outlined, clear priorities in 2026 to perform against expectations. . Our investor story is quite simple. We will deliver stable free cash flows from our Swiss business, growing free cash flows based on the back of synergies in Italy, leading to overall growing free cash flows from on the group level, allowing us to further increase the dividend from CHF 26 to CHF 27 upon achieving the financial guidance of '26. With this, we conclude the presentation, and I hand back to Louis. .
Louis Schmid: Thank you, Christoph. Now it's time for the Q&A session. [Operator Instructions] First question coming from...
Polo Tang: It's Polo Tang from UBS. I have 3 questions. The first one is just on Swiss telco revenues. So you're expecting a decline of minus CHF 120 million for 2026, and that's similar to 2025. But I'm just trying to understand, should there not be more of an improvement given the benefit of the 3% to 4% price rises on the Swisscom brand. Now I know that you said there would be some offset from churn but what level of gross to net drop-through are you assuming from the price rises. Can you maybe talk about what you're seeing in terms of Swiss competitive dynamics in Q1? And specifically on the Swiss B2B revenues, do you think they can grow medium term once the SD-WAN migration is complete? The second question is really just about Swiss cost savings. So on Page 25, you laid out a number of cost-saving initiatives. But can you maybe give some detail in terms of the quantum of savings from the different initiatives? So for example, how big will copper switch off be? And more broadly, what has been the biggest driver of cost savings historically? And what do you see as the bigger driver going forward? So your net savings in the past were about CHF 100 million per annum, current run rate is CHF 50 million but do you see more or less opportunity for cost savings going forward? Or maybe another way of asking the question is how content are you in terms of your Swiss operating free cash flow? Do you think it can grow longer term? Or is the ambition in Switzerland only to be stable? The final question is really just in terms of Italian telco revenues. So you outlined you're expecting a decline of minus EUR 150 million in 2026 compared to minus EUR 226 million for 2025. But given that you've had several rounds of price prices on both the front book and the back book, why is there not more of an improvement in terms of Italian telco revenues? And can I clarify if you said that these Italian telco revenues are expected to be stable in the second half of 2026? And can you give some color in terms of what you're seeing in terms of competitive dynamics in the Italian market?
Louis Schmid: Thank you very much, Polo. And first question on Swiss telco revenue is covered by Christoph then cost by Eugen and Walter, Italy.
Christoph Aeschlimann: So on the telco revenue, so we do expect roughly a similar order of magnitude this year compared to last year. Roughly again split in the same way, so slightly more tilted towards B2B than B2C in terms of maybe sort of a 40%, 60% split between B2C and B2B as we had also in 2025. And we do expect a roughly similar split on that side. Now on the gross to net, let's say, impact of the cost savings is obviously highly dependent on the resulting churn. So depending on what kind of assumptions you make you come to completely different numbers on the net effect of the price increase. Currently, our assumptions is sort of lower to mid double-digit millions in terms of net effect and this is roughly of the same size of impact we had by taking price measures that we took in '24 and '25. So as you know, we worked on price initiatives, especially on moving or turning -- migrating older legacy subscriptions to the new front book. We worked on like options in the TV space, et cetera. And those also generated double-digit millions in terms of new revenues. . I think as we progress in -- throughout 2026, and we can better evaluate the churn impact by mid of the year, we might be able to say something different. But I think for the moment, it is more reasonable to stick to a rather conservative outlook. .
Eugen Stermetz: Good. I'll take the next one on the cost savings. So I'll start with the copper switch-off. Obviously, this is still some years out. We are talking about the final switch of 2035. We once did a rough cut estimate that we also shared, I believe at some point of what the OpEx improvement would be of that copper switch-off. And we talked about roughly CHF 100 million at the time, lower energy cost, lower maintenance cost, lower customer care costs, et cetera. So this is the ballpark number for 2035. Obviously, there will be a ramp-up over time but it also goes in steps because you have to switch off complete central offices to gain the benefit and in the end, switch off the complete network. So it will be a progressive saving. It will be something that contributes to our cost savings over the years, but it's right now at the moment, not yet very significant. Then on the individual component of our cost savings, what where over the last, say, 2 or 3 years, the most important contributions. One is certainly the digitalization of the customer interface which allows us to reduce the customer care costs. Number two is the cleanup of the IT and the network architecture which takes a lot of time and cost a lot of money in the first place, but then generate sustainable savings. And number three is clearly also near-shoring, which we have been which we haven't done much a couple of years ago and have ramped up over the last 2 or 3 years. On the one hand, in IT development, where we have our own near-shoring centers, which produce at a lower cost. And on the other hand, also near-shoring customer care, not our own customer care or internal customer care departments, but the customer care that is being done by our suppliers instead of doing it in Switzerland goes nearshore. So recently, these were the 3 most important things. I can't give you an exact number on each of those, and there is also no exact number, to be honest, because as you know, these cost savings programs also have -- always have hundreds of lines of individual measures but these are the most important buckets we are talking about. Confidence going forward, Christoph talked about it. We expect another CHF 50 million cost savings this year in the near term. It's also something that we had on the slide. We see that more CapEx becomes OpEx as more software becomes not developed on your own, but it's being bought via SaaS models so that will increase the burden on OpEx. So it will certainly become more difficult to reach the same OpEx number because at the same time, CapEx is kind of being morphed into OpEx. This is why we're also working on OpEx efficiency, obviously. Comfort in delivering stable operating free cash flows from Switzerland is high due to the cost savings on the OpEx side, on the one hand and the CapEx efficiency. On the other hand, confidence in growing free cash flows would not be very high from my point of view, but that's the CFO talking, maybe Christoph has another view, but I would say stable free cash flow is for the moment, the ambition we have, and that is already challenge enough.
Christoph Aeschlimann: Maybe I could just add on your first question here. You asked also the B2B service revenue, which I sorry, I omitted the answer. I think obviously, this year, we still have quite a strong decline. And in the year-on-year effect in '27, you will again see a decline as the SD-WAN migration takes until the year-end. So I would say, let's say, in the short to medium term, B2B service revenue will continue to erode. But going forward, there is indeed like the SD-WAN effect will obviously go away completely '27 to '28. And depending on the ramp-up of beem and if we really manage to scale the offering as we intend, there is, I would say, a reasonable hope that we can get maybe not to a growth, but at least to a steady state evolution on the B2B side, but we are talking about '28 and beyond. So there is quite a big range of uncertainty around this depending on various parameters also obviously market evolution, et cetera. But I think we are working on the right initiatives which should allow us to achieve it. But first, we still need to deliver many, many things before it happens. Walter?
Walter Renna: Thank you for your question. Regarding the telco revenues, I think Eugen already explained to you the dynamics of the churn reduction is allowing us to stabilize the customer base but also the ARPU is slowing down the decrease. You see already the effect on a quarter-over-quarter revenue trend, why we expect the stabilization in the second half of '26 because all the activities related to front -- back book to front book alignment started in late Q4 and we go -- we'll continue in Q1 and Q2. So you will see the effect of this maneuver only in the second part of the year. I. N terms of competitive dynamics in Italy, I mean, the market continues to be very competitive. There is a strong competition. The good news is not deteriorating. So we don't see a market that is deteriorating. We see a market where there is space to play a value strategy, and this is exactly what we are doing. So we are maybe get less volumes in terms of sales, but we are winning a lot in terms of churn reduction. So this is a customer base game for us. we continue to work on our customer base because we really believe we have a strong value there.
Louis Schmid: Thank you, Walter. Thank you, Polo. Next question coming from...
Robert Grindle: Robert Grindle from Deutsche Bank. I've got 3 as well, please. On leverage, the guide of 2.3x reflects the reassessment of tower strategy uncertainty, and you say does not consider the prolongation on new towers. Is there also a change in view as to when this contract is renewed? Secondly, you mentioned CapEx savings in Italy this year, which are impressive. Is there any color as to where they're coming from? And are they sustainable in nature? And thirdly, just a point of clarification on the CHF 75 million Poste Mobile MVNO loss at Fastweb, offset by indemnification. I didn't quite hear -- were you saying it's an indemnity from Vodafone, I assume that's just 1 year? And are there any other indemnities worth filling us in on?
Louis Schmid: Thank you very much, Robert. First question will be covered by Eugen. Second question, CapEx savings Walter, and the last one, again by Eugen.
Eugen Stermetz: Okay. So on the leverage guidance, as I said, it excludes prolongation or the conclusion of new tower agreements. On all the rest, we have no news to tell. We told our story last year, and Walter also introduced the topic today. So unfortunately, we are not going to comment on any further contractual question, sorry for this nonanswer, but this is in line with what Walter said before. Maybe I jump to question 3 because then I can already do this. So the indemnity, yes, you understood it correctly. It's an indemnity under the SPA from Vodafone. And it will cover roughly the loss that we expect this year, but this is it. So there is no other indemnity to be expected under this title.
Walter Renna: Okay. Regarding the CapEx, in '25, the saving is driven by a couple of effects. On the network side, we are enjoying by sharing contracts between Faster and Vodafone. So we are leveraging on the best condition of both. This from one side is bringing new efficiency. From the other side, we are developing our 5G on a more cautious -- with a more cautious approach. So we develop where it's needed to unlock capacity needs. . And the third element is on IT, we are reducing the IT spend because we are investing only on the stock that we will retain. So we divest the stack that we will dismiss after the transformation. These are the major effects, together with the fact that also the customer acquisition slowing down a bit, and this is bringing savings in terms of customer driven.
Louis Schmid: Thank you, Walter. Thank you, Robert. Next question coming from...
Ajay Soni: It's Ajay Soni from JPMorgan. I've got a couple of questions. So my first is just around -- you mentioned around second brand penetration potentially increasing again during 2026. I was wondering how the launch of a new brand within this obviously discount segment has had maybe impacted you guys in the last couple of months? And then the second question was around the Swiss beyond the core services, which I think is Slide 21. You mentioned around monetizing it may not be a 2026 story, but what do you think you could actually charge for these services and especially with the Swisscom, myAI, I mean, how will this differ from existing free AI offerings in the market. Do you actually think you'll be able to charge us to customers for this?
Louis Schmid: Both questions go to you, Christoph.
Christoph Aeschlimann: Thank you, Ajay. So on the second brand, indeed, we expect again a increase in penetration of the order of the same magnitude as we've seen in the past years. Now you alluded to a new brand impact. So I assume you allude to the CH Mobile brand of Sunrise because we didn't launch any new brands. So on that side, we don't expect this launch to accelerate our second brand penetration. I think this was more driven by customers coming down from the main brand and going to a lower tier offering with less value at a lower price point. And we don't expect this dynamic to change during the course of 2026. . On the Swiss adjacencies, like -- so on the security side, we are already monetizing these services since many, many years. So we have different security offerings, and we will launch some new ones in this year. So at certain different price points. Typically, security, I think, is around CHF 70 to CHF 10 a month. So quite an attractive upsell possibility. On the myAI side, we are currently working on increasing the penetration into the customer base. So it's more a question of onboarding as many customers as possible and getting them used to using our GPT versus another GPT. In terms of monetization opportunity, we will see probably '27 onwards if customers are willing to pay for this. I think it's a very compelling proposition because it basically has the same features as an entropic you buy on the market, but with Swiss sovereign capabilities. And looking at sort of the general GPT pricings in the market, they are typically around CHF 10 to CHF 20. So we do expect to be able to achieve something similar, should we go into a monetization model. Obviously, afterwards, it's a question of how many of the customer base really buy let's say, the upper tier model because probably there will always be like a free version as you already have today on the market from OpenAI and other players. And then you have like premium version. So it becomes more a question of how much of the customer base can you actually upsell the premium tiers.
Louis Schmid: Thank you, Christoph. Okay. And then what I know and see from the screen, a very last question coming from...
Joshua Mills: It's Josh Mills from BNP Paribas. If I can add 2 please. First one was just around the RAN sharing agreement you've announced in Italy. Could you give us any indication on the scale of those cost savings perhaps in the medium term and then also whether there's any renegotiation required with tower partners in order to deliver on those? I'm not asking you to comment on the separate tower debate, which you've already addressed, but just specific to that RAN sharing agreement would be very helpful. And then the second question is more around the CapEx profile in Switzerland. So, obviously, to stabilize operating cash flow this year, you're reducing CapEx a bit there. You've got a very healthy Slide 63 in the appendix where you can give a breakdown of the different building blocks in the Swiss and the Italian CapEx. But what I'd love to understand is where kind of floor CapEx you would be in Switzerland and which of those CapEx buckets could drop down a bit further, perhaps not this year or next year, but in the medium term, so we can get a sense of how much of an offset to revenue CapEx would be over that period.
Louis Schmid: Josh, first question goes to you, Walter. Second one to you, Christoph.
Walter Renna: Yes. Thank you for your question. So RAN sharing is a strategic project for us, as I said, as we can really put together the network with TIM in rural areas. We are talking about over 15,000 sites as a possible target for this sharing. So this will bring us the opportunity to extend our coverage as said, in cities with less than 35,000 inhabitants. As you may know, in Italy, there are a lot of municipalities of this size. So we will really enjoy the additional coverage and additional quality for our customers. In terms of savings, we will not disclose numbers at this stage as we are still in a preliminary phase. But in the midterm, I can say that we expect savings of mid-double-digit euro million range. We will let you know once we will go into more details and approval from the authorities here in Italy. So we expect to have more news in the second part of '26. .
Christoph Aeschlimann: So the CapEx profile in Switzerland, I think the easiest -- so at the moment, we have roughly CHF 1.7 billion in CapEx, out of which CHF 500 million are strictly related to the fiber rollout. So obviously, once fiber rollout is complete, this CHF 500 million will go away. So you land at CHF 1.2 billion of CapEx in Switzerland starting 2035. I think over the time, you will see sort of a slight ramp down of the rollout CapEx, but still at a very high level until 2030 and then probably starting to slightly decline in the first part of the 2030s. Now on the other buckets of the CapEx, we obviously also work on efficiencies, in particular on the IT bucket, which stands at CHF 470 million. So as you know, AI is highly impacting software development efficiency, et cetera. So there is an ambition and some hope that we can further decrease the IT bucket. And as we said, on the other side, but this will not help from a free cash flow perspective, there is a CapEx to OpEx shift on the IT side. So some of the IT CapEx of this CHF 470 million migrate into the OpEx. So this is basically a wash from a free cash flow perspective, but will to some decrease CapEx. And then if you look at the backbone in infrastructure, which last year was at CHF 121. As you know, we are still modernizing and upgrading our core and backbone infrastructure, which we intend to complete by '27. So this will also generate some savings in this bucket. Now the magnitude will probably be quite limited. Maybe a low double-digit number. But still, there are opportunities to further optimize CapEx in the short run. Fiber rollout I mentioned at the beginning is obviously a very long-term topic and nothing that will change in the next 3 to 5 years.
Louis Schmid: Thank you, Christoph. We have some additional new participants. The next one is audio only dialed in. Thank you for your questions.
Justin Funnell: Louis, Justin Funnell here. Yes, just some small follow-up questions, please. Could you explain again the financial effects of the shift from MPLS to SD-WAN in '26 and '27? What does it do to revenue and EBITDA? It's sort of broad brush. It sounds like it the impact peaks in '27. So just wondering how to model that basically. Secondly, the gap between inflow and outflow in Italy on price, there's still a gap there. Do you think you need to reduce that gap still? Could you do more price ups in Italy on the front book pricing -- on the front book? And then thirdly, you mentioned without much detail, a sort of more network agnostic approach to fixed line in Italy and I was just wondering what opportunities you saw in moving into sort of selling fixed wireless access instead of fiber? And are you also looking at Starlink?
Louis Schmid: I think the first question go to you, Christoph. And second and third to you, Walter.
Christoph Aeschlimann: So on the B2B question. So as you know, the service revenue decline in B2B last year was minus CHF 70 million, out of which wireline was minus CHF 44 million. So obviously, this SD-WAN MPLS topic only concerns this wireline effect of minus CHF 44 million. There is some RGU loss in there as well. So I would say the effect of this transition is quite difficult to estimate because it has various components to spinning down from high value to low-value connectivity, sometimes you lose connectivity, et cetera.but it's probably fair to say, okay, sort of a very low double-digit number is related to this effect, and you will see it again in -- or we have it inside the guidance or service revenue guidance again for this year. But -- so it has an effect, but it doesn't, let's say, massively change the B2B service revenue erosion going forward. It helps to bring it down.but it will not like half it or rather suddenly take out 3/4 of the erosion. So I think that will be vastly overestimated.
Walter Renna: Okay. Thank you for your questions. So we'll start with the FWA question on the network side. Yes, we are using FWA, especially to cover digital divide areas that in Italy are still between 5% and 6% of the population, but we also offer the service where we see that there are copper lines that are low quality. . Having said that, for us, FWA is a marginal technology as for us is key to develop fiber. So we always offer the best technology to our customer. So we have in mind the quality, and we do whatever we can to offer the best service. . In terms of price increase, which is somehow connected to this, we don't think will change pricing structure on the course of '26, but we'll work to improve the price mix in our tiering offer. We have a 3-tier offering of fixed and in mobile. So we will try to move customers from the entry level to the top level, and this will allow us to increase the average ARPU inflow, therefore, contribute to the stabilization of the revenues on the B2C.
Louis Schmid: Thank you, Walter. And now really the final question. The floor is yours, Javier. We can't hear you.
Unknown Analyst: Okay. Can you hear me now?
Louis Schmid: Yes.
Unknown Analyst: Just simply a follow-up on your price increase in the Swiss market. Simply just to ask you, what have you noticed from your rivals, mainly, I mean, Sunrise, Salt or maybe the other smaller MVNOs. What has the pricing strategy been lately in terms of their entry points, In terms of the promotions? And how do you expect them to react to your price announcements? Do you think you're giving them some breathing room? Or do you think they will play ball? I mean maybe a little bit of the competitive dynamics you've seen recently in the Swiss market.
Christoph Aeschlimann: So excellent question, which is obviously top of mind in our daily work in B2C. I think in terms of pricing, you've seen that both Salt and Sunrise have increased prices in the past 1 or 2 years. However, the market has remained highly promotional with very aggressive promotions, especially centered around the Black Friday period. And this has not really changed in the course of the last year. And we do expect sort of a similar promotional activity also going forward. And we will see if it is slightly scaling down now or if it sort of continues in the same way. In terms of customer or reactions of our competitors to the price increase, I can obviously not comment as I don't know how they will react. So we will see over the coming weeks now, what happens on the promotional side. What are they doing? Do they try to attack even more? Or are they choosing to do something else? This will be up to them to decide and we will, let's say, adapt in function of what is going on. But I think overall, you can say promotional activity, maybe slightly less, but overall, I would say, roughly similar over the past 1.5 years.
Walter Renna: Sorry let me just clarify what I said before. I don't want to be misunderstood. So on the pricing structure, I said that we will remain with this 3-tier approach, and we work to increase -- to improve the mix. But in terms of individual pricing, of course, this will depend on the market condition and the target that we have. So just to be clear, I don't want to give a forward-looking statement on pricing that I can't.
Louis Schmid: All right. Thank you very much, Walter and Christoph. Thank you, Javier. At this point, that's it from our side. In case of any follow-up questions, we are available. Thank you for your participation, and have a nice evening.